Operator: Good day, and welcome to the Ameris Bancorp Second Quarter Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Nicole Stokes, Chief Financial Officer. Please go ahead.
Nicole Stokes: Thank you, Alan, and thank you to all who have joined our call today. During the call, we will be referencing the press release and the financial highlights that are available on the Investor Relations section of our website at amerisbank.com. I'm joined today by Palmer Proctor, our CEO; and Doug Strange, our Chief Credit Officer. Palmer will begin with some opening general comments, and then I will discuss the details of our financial results before we open up for Q&A. Before we begin, I'll remind you that our comments may include forward-looking statements. These statements are subject to risks and uncertainties. The actual results could vary materially. We list some of the factors that might cause results to differ in our press release and in our SEC filings, which are available on our website. We do not assume any obligation to update any forward-looking statements as a result of new information, early developments or otherwise, except as required by law. Also, during the call, we will discuss certain non-GAAP financial measures in reference to the company's performance. You can see our reconciliation of these measures and GAAP financial measures in the appendix to our presentation. And with that, I'll turn it over to Palmer for opening comments.
Palmer Proctor: Thank you, Nicole. And good morning, everyone. I appreciate you taking the time to join our call today. I'm very pleased with the outstanding second quarter financial performance we reported yesterday as well as our strong year-to-date metrics. I really want to highlight three major successes for the quarter. First, we grew deposits by $446 million or over 8% while reducing broker deposits at the same time. Second, we grew earning assets by over 14%. And last but not least, we did all of this while expanding our margin. These three components are reflective of a franchise that continues to show discipline and focus on growing long-term shareholder value, our top-tier core profitability, the strength of our balance sheet and our strong Southeastern markets is really what sets us apart. For the second quarter, we reported net income of over $90 million or $1.32 per diluted share. This represents an ROA of 1.41% and a PPNR ROA of over 2.25%. Our margin expanded to 3.58 this quarter, and our net interest income increased by over $10 million for the quarter. Our strong balance sheet includes a diversified loan portfolio with healthy reserves funded by strong core deposits. Loans grew over $392 million, with approximately 46% of that growth in cyclical mortgage warehouse lines. As I said earlier, to fund the loan growth, we grew core deposits over $446 million without increasing broker deposits. We improved our CRE concentration to capital ratio down to 274% and our allowance for credit losses represents a healthy 160 coverage ratio. Capital remains strong at the bank with tangible book value increasing to $35.79 per share, and our TCE ratio was 9.72% at the end of the quarter. Ameris continues to be located, as you know, in some of the most attractive markets nationwide with our 5 state Southeastern footprint expected to grow at approximately 1.7 times the national average. These robust markets continue to give us the opportunity to grow organically at industry-leading levels, which is evidenced by the second quarter's annualized growth of approximately 7% to 8% in both loans and core deposits. Given our growth and success over the years, we also moved the listing of our shares to the New York Stock Exchange on Tuesday, July 23. We like exchanges reputation for listing well-established companies and believe our listing helps to elevate our presence in the marketplace. Before I turn over to Nicole for more details on the financials, I want to summarize why I remain positive on our future and our ability to return shareholder value. First, we remain focused on growing tangible book value, which is evidenced by our over 14% annualized growth rate and tangible book value per share this quarter. Next, we have core profitability with an average above peer PPNR ROA of over 2%. Our strong balance sheet is well capitalized with diversified earning assets in the strongest markets in the Southeast. We have a healthy allowance for credit losses to absorb potential economic challenges. If you look at our funding base, it's very granular and above average level of noninterest-bearing deposits, and we have a proven culture of expense control. All of these components, along with our focus on discipline are what drive our optimism for the remainder of 2024 and into 2025. I'll stop there and turn it over to Nicole to discuss our financial results in more detail.
Nicole Stokes: Great. Thank you, Palmer. As you mentioned, for the second quarter, we're reporting net income of $90.8 million or $1.32 per diluted share. During the quarter, we recorded a $12.6 million gain on the conversion of our Visa Class B shares. And then we also strategically sold a portion of our MSR portfolio for a $4.7 million gain. We used some of that capital to restructure our BOLI investments. The BOLI transaction will more than offset the loss revenue from the MSR sale and we have the ability to regenerate additional MSR revenue going forward. These also reduced our asset sensitivity in a down environment. Excluding these items, our adjusted net income was $80.8 million or $1.17 per diluted share. Our adjusted return on assets improved to 1.25% and our adjusted return on tangible common equity improved to 13.35%. We remain focused on growing shareholder value. As Palmer mentioned, we ended the quarter with tangible book value of 35.79, which was an increase of $1.27 or 14.8% annualized this quarter. We repurchased approximately $3 million of common stock during the quarter at an average price of $47.12 and we have approximately $91.7 million remaining through the end of October. On the revenue side, our interest income for the quarter increased $17.9 million, and our interest expense only increased $7.3 million. So that allowed our net interest income to increase by $10.5 million. Included in interest income this quarter was $2.3 million of bond income related to the accelerated accretion on early payoffs and then also some positive inflation adjustments on some tips bonds [ph] We were really pleased with our margin this quarter. It expanded 7 basis points to 3.58% from 3.51% last quarter, but our margin for the quarter, excluding the 4 basis point lift from those onetime bond income would have been 3.54, which is right in line with our previous guidance of 2 to 3 basis points of expansion. A few more quick details on the 7-point change. The onetime bond income was 4 basis points positive. Our asset sensitivity and asset mix changes were 8 basis points positive. And then those were offset by 4 basis points of beta catch-up and 1 basis points of deposit mix change. During the second quarter, we recorded a $19 million provision for credit losses, bringing our coverage ratio up to 160 of loans and 330% of portfolio NPLs. And while I'm on credit, let me just mention real quick our NPA ratio at just 39 basis points, excluding the Ginnie Mae and our charge-offs improved to just 18 basis points compared to 25 basis points last quarter. Adjusted noninterest income increased $6.3 million, mostly in the mortgage division due to the increase in production. Our total adjusted noninterest expense increased $10.5 million, split evenly between the banking unit and the lines of business. The increases were mostly related to variable comp from increased production, less deferred costs in our Equipment Finance division, some strategic marketing expenses for a new deposit campaign and increases in fraud losses. Our efficiency ratio was 51.68% for the quarter, and our adjusted efficiency ratio was 55%. We expect the adjusted efficiency ratio to moderate back downward for the remainder of the year. On the balance sheet side, we ended the quarter with total assets of $26.5 billion compared with $25.2 billion at the end of the year, and total earning assets increased $865 million to end at $24.4 billion. We have approximately $310 million of bonds maturing in the third quarter, and we prefunded roughly half of those maturities this quarter. The new bonds came in at about 115 basis points higher than the soon to be maturing bonds. Loans held for sale increased about $206 million due to the summer seasonality. Portfolio loans increased $392.3 million or 7.7% annualized and deposits increased $446.8 million or 8.6% annualized. Our noninterest-bearing deposits still represent a healthy 31% of total deposits, and our brokered CDs actually declined $5.2 million this quarter. We continue to anticipate 2024 loan and deposit growth in the mid-single digits, and we expect the deposit growth will continue to be the governor on loan growth. And with that, I'll wrap it up and turn the call back over to Alan for any questions from the group.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Catherine Mealo of KBW. Please go ahead.
Catherine Mealo: Thanks. Good morning.
Palmer Proctor: Good morning.
Catherine Mealo: I want to start with the margin. Really nice margin expansion this quarter. I wanted to see if you could give us kind of an outlook for what you're seeing for the back half of the year?
Nicole Stokes: Sure. I want to agree with you. We're really proud of our margin this quarter. We still model to be slightly asset sensitive. And so really, a lot of our guidance is based on deposit costs. We said last quarter that when we were at 3.51 that we thought kind of bouncing around that 3.51 up or down 2 to 3 basis points, and that's really where we came in on the positive side of that. So we are still saying that same low single-digit, maybe 2 to 3 basis points expansion or compression. So kind of hanging in that 3.52 to 3.55 range for the back half of -- for the next two quarters or the back half of the year is what we anticipate.
Catherine Mealo: Okay. And what do you think would bring? Is it just higher deposit costs in the back half of the year, just more than expected, would bring that lower? Or what's the case -- let's just assume we don't have cuts. I mean if we don't have cuts, why wouldn't it continue to expand or maybe even kind of stay more stable?
Nicole Stokes: Yes. So I do think kind of that stable to expansion, when you model it out, it does look that way. But I'll tell you one of the things that we're focused on is the growth of net interest income and not just the ratio. And so we've said that our deposit growth is going to be the governor on loan growth. And so if we have to give up a little bit on the margin to be able to grow -- continue to grow our core deposits and to protect our deposit base, we would do that and then use that deposit base to grow our loans. So while we might see some expansion or maybe a stable to low NIM, but we would use that to fund the deposit cost to be able to grow net interest income.
Catherine Mealo: Great. That's very helpful. Thank you, Nicole. And then maybe one other on mortgage has just been a really nice story for you in the first half of the year. Can you just talk a little bit about what you're seeing there and your outlook for the rest of the year?
Palmer Proctor: Yeah. Good morning, Catherine. I think with mortgage, it certainly has been a big performer for us this year, in the first half of the year. Keeping in mind, too, there's a lot of seasonality historically and obviously, in today's environment as it pertains to the housing market. So I think seasonality will start kicking in really in the third and fourth quarter. Mortgage will still be a major contributor for us because they're just performing on all cylinders. But at the same time, I don't see a surge in mortgage production between now and the end of the year just given the environment that we're in and given the seasonality of the business.
Catherine Mealo: Right. Thank you. Great quarter, guys.
Nicole Stokes: Thank you.
Operator: The next question comes from Christopher Marinac of FIG Partners. Please go ahead.
Christopher Marinac: Hey, good morning. I wanted to ask about the kind of retention of capital going forward. Is there a point, Palmer or Nicole where there's sort of too much capital, maybe not too much, but just sort of how do you manage that as you continue to build each quarter and each year?
Palmer Proctor: Yes. Thank you, Chris. I would tell you, in this environment, we feel very comfortable of the capital position we're in right now, and it gives us great optionality. I don't see us changing anything between now and the end of the year, if that's your question. There's certainly an opportunity to revisit the dividend. Obviously, you have the buybacks in place. But right now, I think given the environment we're in and given the volatility in the environment we're in, we feel very good about how we're positioned. But it also gives us a lot of offensive type of capital as we move forward, if things stabilize on a go-forward basis once we get into 2025.
Christopher Marinac: Great. And just one kind of credit question. Good results this quarter, both on the criticized and even in equipment finance. Is there anything out there that you see that would just be challenging into next year, whether it's on the maturity side or just other changes in the marketplace?
Palmer Proctor: Chris, actually, no, we don't. You mentioned equipment finance. They had a really good quarter in terms of their charge-offs. In terms of overall charge-offs at 18 basis points for the quarter, that you can see on the slide provided that's a low watermark on the slide, and we would probably expect that net charge-off number to normalize a bit going forward.
Christopher Marinac: Great, guys. Thank you very much. I appreciate it.
Nicole Stokes: Thank you.
Operator: The next question comes from Brandon King of Truist. Please go ahead.
Brandon King: Hey, good morning.
Nicole Stokes: Good morning.
Brandon King: So a follow-up on credit. Your ACL continues to creep higher, but you're seeing a lot of other banks on a percentage basis see their ACL move lower. So is - could you just square what the disconnect potentially is and maybe what you're seeing differently or how your CECL modeling is flowing through to the reserve?
Palmer Proctor: Yes, Brandon, thank you. We did blend in the 25% downside in our Moody's modeling this quarter. We've always maintained a higher-for-longer approach when it came to interest rates, and we felt that blending in that downside was more reflective of the mindset that we've had now for the better part of the year. So the increase in the reserve is not a sign of a weakness in our portfolio. But as you consider higher for longer interest rates, that can put more stress on the portfolio. And at some point, that could translate into some losses, but certainly nothing that would have a material impact on the company.
Brandon King: Okay. Is that predicated more on short rates or the entire curve?
Palmer Proctor: I think that's predicated more on the short rates.
Brandon King: Okay. Okay. And then in regards to mortgage, it looks like the efficiency ratio improved to that [ph] mid-50% range. Should we expect continued improvement if you have you know, to have strong production quarters, I guess, in the seasonally strong quarters in the second and third quarter?
Palmer Proctor: Well, I would kind of characterize it more as stabilization there. One of the things we look at is that gain on sale margin, which has continued to improve and stabilize. I don't see a lot of lift above and beyond where we are today. But as you can see, it's still a strong contributor. You do get in, as I said earlier, in the seasonality, but the operation is very efficient. And obviously, as production comes in and increases as we saw this quarter, we've already got the infrastructure in place to leverage that up. So I think in terms of our positioning, we feel very good about it. And if and when rates start to pull back and there is a refinance opportunity, we are well positioned to ride that wave and capitalize on it. But in terms of our crystal ball looking out between now and the end of the year, I think the seasonality will start kicking in between now and the end of the year, but it will still finish strong.
Brandon King: Okay. Thanks for taking my questions.
Nicole Stokes: Thank you.
Operator: Our next question comes from Russell Gunther of Stephens. Please go ahead.
Russell Gunther: Hi. Good morning, guys.
Nicole Stokes: Good morning.
Russell Gunther: First question for me was on the CRE concentration ratio. You guys pointed out that continues to move lower around 274 today. Just give us a sense, if you could, in terms of where you'd like that to shake out? Are we around a current comfort level? Or should we expect that to continue to work lower?
Nicole Stokes: Well, we will say that we will do everything we can to keep it below 300. So we're certainly below that. 274 is a good spot for us. We feel like some -- we're close to kind of in that middle of 250, 300 to somewhere kind of around that 274 is a good spot for us.
Russell Gunther: Okay. Great. Thanks, Nicole. And then a follow-up on the margin discussion. I appreciate the commentary around securities cash flows and the impact going forward. Could you just remind us what the fixed repricing opportunity is on the loan side over the next couple of quarters?
Nicole Stokes: Sure. So we've got about 37% of our loans that are repricing in the next year. And then was there a second part to that question?
Russell Gunther: It'd be helpful just to get a sense for what the potential pickup in loan yields would be versus the maturing rate?
Nicole Stokes: Yes. Give me one second. So we've got -- in the next quarter, we've got about 32% that's coming off at an 833. And then after that, in the next 9 months, we've got about $1.3 billion coming off at a 724. And remember, included -- and some people have questioned why that isn't as large of an increase because included in that is our mortgage warehouse and those reprice every 20 days. And then also our premium finance, when you look at premium finance, even though they are fixed rate, they have a 10-month production or a 10-month average maturity. So a lot of those have already repriced up. But again, so I think that maybe answers the question about where they're coming off and then where the repricing is coming back on, very similar.
Russell Gunther: Yeah. That's great. Understood. Thank you for that. And then would it be possible to put a finer point on the strategic actions taken within fee income in terms of lost revenue on MSR servicing but the pickup in BOLI, I understand a net positive, but any additional color?
Nicole Stokes: Yes, absolutely. So the MSR transaction where we took about a $4.7 million gain on the MSR and our lost revenue is just about - a little over $2 million on that for the year. And then we took the $4.7 million gain and used that to restructure the BOLI. Our BOLI, we restructured about $106 million of the BOLI. That was at a current 241 yield, and we are reinvesting that in a 450 yield, which gives us about $2.2 million of income. So they are almost a perfect match. The BOLI restructure did not come through noninterest income that came through tax. So when you're looking at the balance sheet or the income statement, the MSR sale and the Visa gain were both in noninterest income and then the - I'm sorry, the MSR and the Visa were in noninterest income, but BOLI was through the tax line. But those almost offset each other perfectly. And what we really did was swap out 250% risk-weighted assets. So we picked up some change or some regulatory capital. And then the other thing is when you look at our ALM modeling, the most volatile part of our ALM modeling was the MSR. And when a down scenario, the repricing and the early payoff of those, the valuation of those. So we've really also impacted our ALM sensitivity and got us in a down rate environment helped us out. So those are kind of the benefits being able to help the ALM modeling, help the risk-weighted assets and being able to do that with no impact to the income statement going forward.
Russell Gunther: Okay. No, that's great. Nicole, super helpful. I appreciate the clarification. And then last one for me. It did, as mentioned, Balboa trends improved on the quarter. Would you just have the dollar charge-offs this quarter and then your expectations for loss rates within that portfolio going forward?
Palmer Proctor: The charge-off for Balboa the second quarter was a little over $7 million. We would probably -- we made a lot of changes to the credit box for Balboa throughout 2023. And overall, we do expect the charge-offs to decline compared to '23. We don't think it's going to be necessarily in a nice linear fashion. So that number could bounce around a little bit. But certainly, in the long haul, those are going to decline over time.
Russell Gunther: All right. Excellent. Thank you, guys. I appreciate it. Thanks for taking my questions.
Nicole Stokes: Sure. Thank you.
Operator: The next question comes from Manuel Navas of D.A. Davidson. Please go ahead.
Manuel Navas: Can I dig into the NIM a little bit more? What are new loan yields coming on? And what is kind of like your marginal cost of deposits right now?
Nicole Stokes: Sure. So our new loan production for June was about 10 point - 10% [ph] That was consistent with the previous month. So both May and June were right at around 10%. And then our deposit production for the month of June came in right at 2.2%.
Manuel Navas: Is deposit competition -- is it the right way to frame deposits costs as maybe the deposit cost pressures are leveling out, but you just might need more if your loan growth is -- continues to be so strong. Is that kind of the right way to think about it?
Nicole Stokes: That's exactly right. And we are pleased with our margin and we certainly want to protect the margin. But more importantly, we want to protect our customer base. We are really proud of our deposit base as well. And so we will certainly protect that. And then we've said that our loan growth -- deposit growth was going to be the governor on loan growth. So if we end up giving up a little bit on margin to be able to grow the loan portfolio and still be accretive to net interest income. I feel like when we're at a 354 margin above peer, if we give up a few basis points on that to be able to grow NII, that's really what's going to grow EPS, ROA, efficiency, all of these other things is by growing that NII. So even if we give up a little bit and use that to protect our growth, we feel like we can do that.
Manuel Navas: That's great. I appreciate that. Where do commercial pipeline stand now? What's the mix currently? Just kind of thinking through that, as we get closer to a rate cut, has that mix shifted at all? Any updated thoughts on kind of where loan growth is going to come from?
Nicole Stokes: Sure. And so I think that's a valid point when you look at kind of the second quarter loan growth, about 45% of it was mortgage warehouse lines. And so -- and then we talked about our CRE concentration came down, and some of that was because of payoffs. When you look at the chart, you can see that CRE actually came down this quarter. So that's one of the things that we like about our balance sheet is how diversified we are. So between the Premium Finance division between the Equipment Finance division between mortgage and warehouse and then core bank, CRE, C&I, we have a lot of opportunities, but we feel like our loan growth going forward is going to be diversified. We do think that the mortgage warehouse lines will come back down by the end of the year, just a typical cyclicality of it. And so we still feel like we'll blend out to kind of that mid-single loan growth by the end of the year, but it will be diversified among categories.
Manuel Navas: I appreciate that. Just one follow-up on mortgage banking, where the fees are really strong. The pipeline is up quarter-over-quarter. It seems like you're speaking more of stability there next quarter. And did the MSR gain run through that line? Or was it in other? Just kind of geography there. I just wanted to confirm it.
Nicole Stokes: Yes. The MSR line is in other. And then we typically have second and third quarter our strongest mortgage quarter. Fourth quarter typically does decline a little bit. So that's cyclicality. And we don't have any reason to believe that normal cyclicality won't happen this year.
Manuel Navas: I appreciate that. I'll step back into the queue.
Nicole Stokes: Perfect. Thank you.
Operator: The next question comes from David Feaster of Raymond James. Please go ahead.
David Feaster: Hey, good morning, everybody.
Nicole Stokes: Good morning.
David Feaster: One of the most impressive things in the quarter was the NIB growth. Could you touch a bit on what's driving that? What's allowing you to be so successful and some of the trends throughout the quarter and just how you think about NIB going forward?
Palmer Proctor: Yes. Our mindset on that, David, has not shifted, and it's been pretty consistent for years. I mean we've always put a high emphasis on value on deposits, and that's reflected in everything from our incentive plans to obviously our budgeting and forecasting. So I think what we're seeing now is the results of a lot of efforts that have happened over the last -- or since the beginning of the year in terms of business development and treasury initiatives. We have mentioned on a couple of calls back how the investments we've made in overhead and expense this year primarily been focused on treasury. And so between the treasury initiatives and our C&I initiatives, that's really where we're seeing the biggest lift on that core funding, and we hope to see that continue. So we're very pleased with it. We did have some expenses associated with that with some marketing efforts that they've obviously paid off, as you can see this quarter. So we've been very happy with the results and hope that trend will continue between now and the end of the year.
David Feaster: Okay. That's great. And then just wanted to touch on Balboa. We've talked about the strength that you're seeing there and tightening the credit box. Curious, maybe how do you think about the growth outlook there? And then whether there's any other opportunities in that segment as you take a higher look at it, whether there's opportunities to expand that platform? I don't know whether it's different asset classes or anything like that or even potentially drive some deposits from that group?
Palmer Proctor: Yes. No, Balboa is a great and equipment finance in general. It's just a great opportunity for us. It's obviously you do incur higher losses, but you've got, as we all know, much higher yields, too. So net-net, is an extremely profitable business to be in. After tweaking the credit box, I think we have moderated most of the issues we have with transportation. On -- in terms of the balance sheet, you will not see additional growth beyond balance sheet because we told you it's capped at kind of 10% internally. They're about 6.7% right now. So I don't expect a big surge in the balance sheet growth. But the opportunity there, too, remains to sell and securitize that paper. So that way, you could increase the volume potentially, assuming the market and the appetite is there to crank back up loan sales and securitizations, which historically is what they did because they obviously didn't have a bank balance sheet in the past. So that is an initiative that we see as a real upside to our catalyst on a go-forward basis. So when you look at tailwinds, that's one where we could keep the production engine running and actually increase the production if want to, as long as we have the conduits and ability to sell the paper.
David Feaster: Okay, that's really terrific...
Palmer Proctor: Yes, that generates great fee income, too, as you well know.
David Feaster: Yes. That's terrific. And then just last one for me. You've historically had a lot of success recruiting high-quality talent. I'm curious maybe what you're seeing on the hiring front in your appetite for producers here, where you'd be looking to deepen your presence or potentially interested in market expansion, just given that you're still open for business and growing, while a lot of others are somewhat constrained right now?
Palmer Proctor: Yes. Our focus -- we have been very fortunate to have some incredible talent here in the company. And -- but our focus probably remains more retention than on attraction because as we've said, quarter-after-quarter, we don't have to go out and hire another person to be able to meet our budget and expectations. We're certainly opportunistic and as we see talent on out there and that's available, we will certainly pursue that. The hires that we made in treasury have certainly paid off and certainly on the C&I initiatives. But right now, I think the important thing for a lot of companies to do is focus internally on the retention of their talent because the worst thing that happens is you lose that talent. So right now, in terms of aggressively going out and trying to hire teams, we don't need to do that. We don't need to incur that expense. And as you know, we're very expense conscious here at the company. But at the same time, we will not pass up an opportunity. So as I look out to 2024, 2025, I don't see a huge surge in lifting out or bringing in additional expense other than selectively.
David Feaster: Okay, that makes sense. All right, thanks everybody.
Nicole Stokes: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Palmer Proctor for any closing remarks.
Palmer Proctor: Great. Thank you. We appreciate your participation in today's call, and we look forward to sharing our results with you next quarter. Our discipline in creating strength on the balance sheet in loans, deposits and capital as well as our core profitability and stable credit metrics has positioned us extremely well as we look into the future. We've certainly have the infrastructure in place, the markets and the talent to execute on our strategies, and we remain committed to top-of-class results. I want to thank you again for your time and interest in Ameris.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.+